Operator: Good afternoon, and welcome to Universal Technical Institute's First Quarter 2014 Conference Call. [Operator Instructions] As a reminder, today's conference call is being recorded. A replay of the call will be available for 60 days at www.uti.edu, or through February 13, 2014 by dialing (877) 344-7529 or (412) 317-0088, and entering passcode 10039228. At this time, I would like to turn the conference over to Mr. John Jenson, Vice President and Corporate Controller of Universal Technical Institute. Please go ahead, sir.
John Jenson: Hello, and thanks for joining us. With me today are Kim McWaters, Chairman and CEO; and Eugene Putnam, President and CFO. During today's call, we'll review the first quarter results, discuss our strategic direction and take your questions. Before we begin, we must remind everyone that except for historical information, today's call may contain forward-looking statements as defined by 21E of the Securities Exchange Act of 1934 and Section 27A of the amended Securities Act of 1933. I'll refer you to today's press release for UTI's comments on that topic. The Safe Harbor statement in the release also applies to everything discussed during this conference call, including initial comments by management, as well as answers to the questions. During today's call, we'll make reference to EBITDA, which is a non-GAAP measure representing net income exclusive of interest, income taxes, depreciation and amortization. The schedule provided in the earnings release reconciles EBITDA to the nearest corresponding GAAP measure, net income. And now, I'd like to turn the call over to Kim McWaters, our Chairman and Chief Executive Officer. Kim?
Kimberly J. McWaters: Hello, everyone, and thank you for joining us on the call. First, Happy New Year to all of you. Our new fiscal year started off just as we expected, challenging, yet there was evidence that some of our efforts to grow new student starts are beginning to work. And that is what really matters, returning to new student growth. New student starts for the quarter were down due to a timing issue and continued show rate pressures, but they were up slightly for the previous 6-month period and we expect them to be up over the next 6 months as well. That is very good news, especially given the tough environment as the headwinds we faced in recent years continue. The story is the same, lingering effects of the great recession have impacted consumer confidence in the job market and made them question the value of an education. Affordability and aversion to debt weigh heavily on our students. Regulations continue to significantly impact our ability to efficiently recruit the volume of technicians industries require. As you know, our sector and our business have been operating in a state of chaos for several years, trying to create order, stability and innovative ways to grow in a new state of normal. Today's environment demands significant change, innovation, reinvention and investment. And while we're hopeful that the majority of the change efforts and innovation we are in the midst of will prove successful, they will take time and cost money. And the reality is, some innovation will not work as planned, which makes predicting outcomes more difficult than we'd prefer at times. But if we want to emerge from the chaos and build a business that can deliver long-term results, we don't have a choice. We must find new ways to grow and to meet the growing demands of our industry partner. There is great demand for what we do today and we expect the demand to grow given the underlying supply and demand dynamics. The Bureau of Labor Statistics now projects the need for service technicians will grow nearly 10% from 2012 through 2022, which means 37,000 new jobs each year. During the same period, roughly half the technician population will be eligible for retirement, yet fewer students have been willing or able to take advantage of training that can lead to employment in these fields. That translates into a skills gap for the industry. At UTI, we feel we are well positioned to address the growing gap and deliver the skilled technicians the industry needs. Despite the difficult environment, we have continued to strengthen our relationships with the industry, have invested millions of dollars into new curriculum and training programs to meet industry expectations. As a result, our graduates are getting jobs. Last year, 85% of our graduates went to work. Our graduates' success is the ultimate measure of our success. What is frustrating is that we know we can help more students than we are today. Helping more students is a win-win-win. It's good for our students and our employers. And it's good for our company. With our current campus infrastructure, incremental margin on each additional students vary, but they're in excess of 50%, and in some cases, as high as 75%. Our challenge is to continue to innovate and invest to drive future growth and provide quality training with the burden of a fixed cost structure that is not fully optimized, a challenge that is reflected in our first quarter results. Therefore, it should be no surprise that our focus for 2014 is squarely on growing new students. In general, we are pleased with our inquiry generation efforts, student application growth and improved admissions efficiencies. We are not pleased with the conversion rates from applications to new students. And while we can live with a lower show rate or efficiency level, this means we simply need to help more students understand our value proposition and overcome the affordability hurdle to ultimately grow our student population and increase the number of technicians we provide to industry. Some of the things that we are doing to address this challenge are working, others need more time. And some have yet to be fully implemented. The issues are complex. There's no silver bullet or quick fix, which is why we continue to expect the next quarters to be a little bumpy. That said, we remain confident in our fundamental strengths and our strategy, as well as our ability to deliver value for our students, our industry customers and our shareholders. Eugene, can you provide the summary on our results? And then, we'll discuss where we've seen progress and momentum and how we're addressing the affordability challenge to help more students come to school.
Eugene S. Putnam: Sure. Thanks, Kim. We began the year with approximately 700 fewer students than last year. As a reminder, we had 1 less start date in this year's first quarter than last year's, which contributed to student starts being down 18.5% compared to the first quarter of last year. While starts were not as strong in the first quarter as we would have liked, I think it's important to emphasize that we did meet our previous guidance. New student starts for the 6 months ended December 31 were up approximately 100 students compared with the same period last year. And as I'll discuss later, we expect start growth to continue over the remainder of the year. Revenue for the first quarter was $97 million, a 1.4% decline from last year. During the first quarter of 2014, average revenue per student was up 5.7% to approximately $6,300. Tuition excluded $6.3 million related to our loan program compared to $5.8 million in the first quarter of 2013, reflecting our continued efforts to ensure that the program is accessible to students. As a reminder, revenue from this program is recognized only when payments are received. Operating income was $3 million, down 50% compared to $6 million in the same period last year, while operating margin was 3.1% compared to 6.1% last year. Advertising expense increased $400,000 compared with last year and came in at $8.7 million for the quarter. As a percent of revenue, advertising expense increased from about 8.5% to about 9% this year. Bad debt expense as a percentage of revenue remained very good at 1.4% for the quarter. We generated just under $9 million in EBITDA in the quarter compared to $12.1 million last year. Net income for the quarter was $1.7 million or $0.07 per diluted share, compared to $3.6 million or $0.14 per diluted share in the first quarter of last year. Our provision for income taxes for the 3 months was $1.6 million or 48.5% of pretax income compared to 42% of pretax income last year. This is a higher book tax rate than normally, primarily due to an increase in tax expense related to share-based compensation from past years. During the quarter, stock-based compensation awards, granted upon our initial public offering 10 years ago, expired unfortunately under water, requiring a write-off of the related deferred tax asset. The write-off resulted in an additional $100,000 non-tax -- I'm sorry, noncash charge to income tax expense. Now in future periods, we may experience variability in our income tax expense depending on the price of our common stock and the timing of expirations, exercise, investing of other stock-based compensation awards. This variability could result in income tax rates that are substantially different from the federal statutory and/or our historical income tax rates due to these noncash charges. If our stock price remains relatively consistent with the last quarters' trading range, we would anticipate recording a noncash deferred tax write-off and related income tax expense in the range of $400,000 to $700,000 for the year ending September 30. Now looking at our balance sheet. We had cash, cash equivalents and investments of a little over $100 million at December 31 compared to $97.5 million at our last fiscal year end. Cash generated from operations was $9.4 million for the first quarter compared to cash actually used of $1.6 million in the same period last year. That was primarily due to lower bonus payments, as well as the timing of some balance sheet items. During the quarter, we recorded a building asset as well and a corresponding lease financing obligation in the amount of $33 million related to the movement to our new Lisle facility, which was placed in service in November of 2013. And other than this financing obligation, we have no debt on our balance sheet. During the quarter, we invested $2.9 million in fixed assets, which was up slightly from 2.8% last year. Finally, while we did not repurchase any shares during this quarter, which is typical during the first -- the fourth quarter, because of a very short trading window, we did return $2.5 million to shareholders in the form of dividends in the quarter. Now I'd like to turn it back to Kim to discuss some of the details regarding our efforts in marketing and admissions.
Kimberly J. McWaters: Thanks, Eugene. Although new students were up for the previous 6 months, the decline in student starts in our first quarter was a clear reflection of the hurdles we face making UTI education more attractive and affordable in the midst of current economic regulatory and competitive challenges. With that said, we have a quality brand and reputation, and our business model is strong. We serve a booming sector with growing demand for the kinds of technicians we train. We continue to make progress against the strategy we launched last year, and we're starting to see the strategy produce results. As you know, we have been pursuing a marketing strategy aimed at driving high-quality inquiries from prospective students who have a strong propensity to start school. In the first quarter, our media mix model continue to generate high-quality inquiries, and we made progress with our work to optimize media buying based on predicted starts. While some competitive market pressures drove a slight uptick in advertising expense year-over-year, we continue to feel good about the efficiency of our marketing efforts. And based on what we're seeing, would be comfortable increasing our advertising investment to drive new student growth. This could drive advertising expense a little higher than the 10% of revenue, especially earlier in the year. During the quarter, we once again saw the quality of student inquiries improve, making this the third consecutive quarter for this trend. However, we did have one hiccup in the quarter, which drove inquiry volume down approximately 20% compared to the first quarter of last year, and that was due to the implementation of the Telephone Consumer Protection Act that required us to include specific language on inquiry forms. We believe that the first version of the language was somewhat difficult to understand and negatively impacted the student inquiry process. We have been successful in modifying the language to make it less intimidating, yet compliant, and believe this issue is now largely behind us. Despite that challenge, new student applications were up in the first quarter with growth in every segment that we serve. In total, applications were up over 3%. Applications from the adult population grew more than 5%, and we generated almost 2% growth in high school applications. And while we continue to experience some challenges with access to military bases and expect this segment to be more challenging in the year, our military applications grew more than 4%. During the first quarter, in collaboration with our industry partners, we reemphasized with our admissions representative the benefits and opportunities our advanced training courses create for our students. As a result, we continue to see positive year-on-year enrollment growth in our Manufacturer Specific Advanced Training program, with applications for Ford, Toyota, Nissan and GM, which have no prerequisites, up 84% compared with the first quarter of last year. While we feel good about the trend in inquiry quality and continued application growth, and believe it reflects strong student demand for the type of training we provide, it's clear that we have not yet cracked the code on converting applications into student starts at the level we'd like. To keep students engaged from the first inquiry to the first day of school, we're developing new marketing materials, including refreshed and more detailed information on our website and social media channels, and tools that our admissions teams can use to help students navigate through the enrollment and financial aid processes and to better support them showing to school. With fewer options to finance an education and continuing consumer aversion to debt, paying for school is the biggest hurdle we must help students overcome. Our marketing materials are designed to help potential students and their families understand the true cost and the value of a UTI education. At the same time, we're testing a number of changes designed to make our programs more accessible and affordable. We continue to offer traditional need and merit-based scholarships now in excess of an estimated $13 million a year. We're also testing nontraditional scholarship and support programs, such as relocation scholarships, for students who must move to attend a UTI school. We're engaging industry support to help sponsor students' tuition. This not only helps students pay for their education, it is a good recruitment and retention tool for our employers. We're close to testing a shorter-length program which addresses affordability, but also encourages successful students to take advantage of scholarship monies to add on manufacturer programs, to achieve higher levels of certifications and manufacturer credentials. Last, from a scholarship standpoint, we're excited about the launch of a new mikeroweWORKS UTI Scholarship Program for UTI, MMI and NASCAR Tech students. Details are being finalized and we expect to launch the program in a month. Students will have the opportunity to earn $1 million in UTI scholarship monies by meeting the criteria of the mikeroweWORKS foundation. For those of you who may not be familiar with Mike Rowe, he's best known as the host of Discovery Channel's Dirty Jobs. His personal brand and values for working hard and smart really resonates with our students. We are excited about collaborating with Mike Rowe and his foundation to support technical education and closing the skills gap. Speaking of supporting technical education, at the high school level, we're working to increase articulation agreements with deserving high schools and their students to offer UTI credits for approved courses and reduce the cost of tuition. As we look forward, we will continue to stay focused on growing our new student population. While we know we have a great deal of work ahead, we are clear-eyed about the challenges we face, remain confident in our ability to manage the challenges to rebuild a pipeline of qualified students, fulfill industry's growing demand for skilled, trained technicians, and to grow the business and deliver long-term shareholder value. With that, I'll turn it back over to Eugene.
Eugene S. Putnam: Thanks again, Kim. While we are working to attract more high-quality students, with a heavy emphasis on the front end of the business, we also continue to focus on ensuring we offer training that delivers substantial value and prepares our graduates to meet industry's needs. Strong industry relationships remain critical to our ability to deliver quality training and provide a key differentiator for us and for our graduates. As you may have seen yesterday, the 12-week advanced training program that has been under development with GM has been completed, and we began teaching our first class just last week at our Avondale campus. We're excited to launch this program and begin serving the substantial need GM has for technicians. We currently offer our blended learning curricula at our Avondale and Dallas campuses, and we are on schedule to complete the rollout to our Sacramento campus in the next quarter. I'm also very pleased to share that we began teaching new classes at our new campus in Lisle, which is outside of Chicago, earlier this quarter. As we have discussed, in order to meet industry demands, we simply must attract more qualified students, and to do this, we must continue to address the affordability challenges our prospective students are facing. We continue to make our loan program accessible to prospective students, as well as offering existing scholarships and testing new ones. In addition, we continue to offer both merit-based and need-based scholarships, and we increased the amount, as Kim said, of need-based scholarships awarded in 2013. For the quarter, need-based scholarships accepted increased over 114% and the number of scholarships accepted increased over 121%. And while it's still too early to discuss results or impacts, we did also began testing a new scholarship to support students who relocate to attend one of our schools. During the first quarter, we graduated about 2,300 students, that's a decrease of 4.2% compared to the same quarter last year and is consistent with the declines in our student population. The past 12 months, about 9,700 students have graduated from UTI with either degrees or certificates. I'm also happy to report that in the first quarter, our overall consolidated graduate employment rate was significantly higher compared to last year. It was up about 500 basis points, and we continue to see improvement in all areas of study with the exception of marine. We also continue to see an overall increase in wages offered to our graduates. With that, let's talk about our outlook for the rest of 2014. As I mentioned earlier, our starts for the last 6 months were right in line with our guidance. Forward-looking metrics, such as inquiry quality, application growth, as well as contracts that are already on the books, lead us to believe that we will see high single-digit start growth in Q2 and low-single digit start growth over the remaining 9 months of our fiscal year. While we are not cutting tuition, we continue to experiment with different investments and scholarship offers that we discussed, which are intended to improve persistence and to help students overcome macroeconomic headwinds and affordability challenges. While these efforts may temporarily impact revenue per student, we are convinced they are necessary to attract sufficient students in order to meet our industry partners' increasing demand for technicians. As Kim mentioned, these efforts have lead times between expense and revenue recognition, and therefore, may initially impact operating results. As such, last year's revenue and operating results could be challenging to meet or exceed. So we must remain highly focused on expense management, especially given the point of the cycle that we have reached. Yet at the same time, we remain committed to making the necessary investments in the front end of the business, while maintaining an intense focus on show rates, meeting industry demand and, most importantly, student outcomes. Now, operator, I think we're ready to open the line for questions.
Operator: [Operator Instructions] Our first question comes from Jason Anderson with Stifel.
Jason P. Anderson - Stifel, Nicolaus & Co., Inc., Research Division: Just to go to the outlook you talked about there, I guess, I'm wondering if you can give us a little more color behind the 2Q up high single-digits and then also your comments on the 9-month period. I mean, are -- I mean, presumably, apps and inquiries are still good. Are you -- figured out, I mean, have you evidence you figured out a way to improve the show rate? Or I mean, what gives you the confidence in those, I guess?
Eugene S. Putnam: Yes, I think obviously, we're a little bit more specific about Q2 as the closest to it. The further out you go, the more variability there is. But I think, as I've said, knowing what growth we've seen in applications, knowing what the quality of inquiries look like, knowing how many contracts are on the books, knowing some of the things that we've done to show rate -- but I want to be clear, my comments are not based upon significant improvement in show rates. It's more based upon application and student interest in contracts that are scheduled to start. So that's what leads us to that type of guidance of high-single digits in the coming quarter, the quarter that currently we're in. And single-digit -- mid-low to low single-digit growth for the remainder of the year.
Jason P. Anderson - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then I guess, you talked a bit about scholarships and different amounts. I think you mentioned the $13 million. Is that the -- is the $13 million what you expect for '14? Or what -- could you elaborate on that dollar amount? And then also, how should we think about RPS for 2014? I mean, I know you mentioned maybe up slightly in last quarter, but is there any change to that then with some of this elaboration on the outlook here?
Eugene S. Putnam: Yes. Let me take them one at the time. The scholarship number that you've mentioned is what we expect to award to students this year. That does not necessarily translate into a revenue impact because they first have to accept it. They second, then, have to start school, and then it is -- it hits the P&L ratably as they matriculate through school. But it is what we intend to offer to students this year. And honestly, if we continue to see the success we're seeing there, that potentially could increase. In terms of revenue per student, while we were up pretty strong this quarter, I would expect to see that probably slow some, the year-over-year growth slow some, in the next few quarters because of expanded use of scholarships. But at the same time, the mix of what programs our students take, and how many of them decide to lengthen their program to take Manufacturer Specific Training, that all factors into it. But the combination of those things, along with tuition increases, I think I'd stick with our ordinary guidance and that we probably see somewhere in the 1% to 2%, maybe 3% increase for the remainder of the year.
Jason P. Anderson - Stifel, Nicolaus & Co., Inc., Research Division: Okay, great. And then one last one. You mentioned RPS in this quarter. What -- did you -- I'm sorry, if I missed it, but could you comment further on maybe why that was so strong? Did you get -- is there any impact from better collections of prior unrecognized revenue or anything like that?
Eugene S. Putnam: Well, I wouldn't call it better collection. I mean, certainly, the absolute dollar increased, I think it was about a little over $700,000 this year. But that -- this quarter, I'm sorry. But that's just a function of more people being in repayment as those season. It was -- I hate to be this vague about it, but it was the combination of students taking the electives and the longer programs, as well as -- what I'll call the mix, as well as the mix of students that are starting school at higher tuition rates based on past tuition increases. Nothing more magical to it than that.
Operator: Our next question comes from Peter Appert with Piper Jaffray.
Peter P. Appert - Piper Jaffray Companies, Research Division: So Eugene, you've been pretty aggressive and attentive on the cost side of the equation here in the last couple of years. So I'm wondering if there's much more, or anymore, that's to be done from a cost perspective. And I ask this in the context of trying to understand if you think you could hold margins relatively flat this year, even in the context of what looks to be maybe slightly lower revenues year-to-year?
Eugene S. Putnam: Yes. That's a good question, Peter. I mean, obviously, we're at a -- at the small margins that we're making right now, as Kim mentioned, every incremental dollar of revenue is highly profitable to us. But we have been experiencing negative leverage over the last couple of years, and we're fighting hard to maintain that. I don't foresee any significant cost reductions. But I think what we are doing is finding efficiencies and seeing reductions that, quite honestly, you folks won't see. They don't rise to the level of an announcement, a workforce announcement. But we do look for efficiencies everywhere. But those are -- we're running as fast as we can looking for efficiencies to offset some of the inflationary things and things like medical and health care, which are pretty burdensome. As well as additional legal cost and regulatory expenses and things that we have to just keep investing in the business, either to maintain acceptable levels of fixed costs to run a public company, or as Kim mentioned, on the marketing side and the admission side, to ensure that we're investing in the appropriate mechanisms to continue to meet our industry partners' demands. So a long-winded answer, but I don't expect to see anything major on the cost reduction side. Do hope to keep them relatively flat. Now, I will warn everybody, our fiscal second quarter, being the first quarter of the calendar year, historically is always kind of an up quarter for expenses because all the FICA things reset. So I don't want you to extrapolate that when you see that, but I would hope to continue the expense management that we've seen over the past couple of years. Sorry for the long answer.
Peter P. Appert - Piper Jaffray Companies, Research Division: That's very helpful. The 5% gain in applications from the adult market is noteworthy, because I'm recalling, I think that's been negative for the last bunch of quarters, so anything you'd call out in terms of changes in marketing program or something else that would be driving that. And I'm wondering why that wouldn't make you a little bit more optimistic in terms of the start outlook here for the next few quarters.
Kimberly J. McWaters: That -- very good questions. I think it's twofold. We have really been working on our marketing and advertising investments to target students who have a higher propensity to show to school. And if you think about our advertising, the vast majority of it is directed toward adult students, so let's say 70% of it. And I think the traction that we're getting there, and our confidence is growing in it, is translating into more opportunity for our adult campus reps. And on the admission side, the teams there have been really working on efficiencies. We've been testing different processes based on the type of inquiries that are coming in and how much service and contact is necessary, and we're continuing to see good progress there. With that said, we still see challenges from a show rate standpoint, and that's what we're focused on solving. We do believe that with what we're doing from a marketing and admission standpoint, that our adult segment is going to continue to strengthen, but it's just -- it's early on. And I think we're just -- we're reluctant to say victory as it relates to the adult population, even though we're seeing really positive progress. And that's, back to my prepared remarks, based on the job that they are doing and what we're seeing with our advertising, we're willing to invest more in that and will, inside of this quarter, to help accelerate that growth. Now obviously, that creates margin pressure in the quarter, but the best thing for this business is to grow new student starts in the adult channel, will help us do that earlier than later with roughly about 5 months from inquiry to start for the adult population. So -- sorry, it's not as simple as any of us would like, but overall, confidence is good, and we're going to do everything we can do to support this channel's growth.
Operator: Our next question comes from Corey Greendale of First Analysis.
David Warner - First Analysis Securities Corporation, Research Division: This is David Warner for Corey. Just a question on sort of the competitive landscape with sort of the divergent trends between inquiries and applications and show rate. Are you maybe just anecdotally hearing from the students that are not enrolling, are they going to -- are you hearing -- are they going to community colleges, are they opting to stay in the labor market, pursuing a different discipline? Anything that you can kind of share as far as those trends.
Kimberly J. McWaters: Happy to do that. Typically, when we try to get information from students who have opted either not to enroll or not show to school, it's difficult to get a clear answer. But I would put at the top of the category from front-line feedback is that they're not doing anything. They're either staying in their job or they're not working, but they're not motivated or able to pursue the education that they want. I will tell you that over the last couple of years, I do believe there has certainly been -- the community colleges have gained share simply based on price. And so I do think that, that, in terms of the reasons for not pursuing a UTI education, I'd move that up higher in the list overall. But I would say the biggest challenge remains affordability and the complexity of trying to finance an education that would be driving their decision to not pursue actually showing to school, beyond making initial inquiry or application. The other thing that I think we have to consider, especially with our population, given the vast majority of our students are male, is that the employment rate or the unemployment rate, as that continues to improve, men are taking jobs that they have not been able to get for years, and so this segment is really lagging the economic improvement for the general population. And that does create a little bit of a headwind for us. For people who haven't been working who get a job, they're not going to give up the job to go to school. And so we are dealing with a little bit of that because it's really just been in the latter part of the last year that we started to see the unemployment rate for men, young men, improve.
David Warner - First Analysis Securities Corporation, Research Division: Okay, I appreciate the color. As far as Q2 goes, are those starts comparable with the year ago period?
Eugene S. Putnam: Yes. Yes they are.
Operator: Our next question is from Trace Urdan with Wells Fargo.
Trace A. Urdan - Wells Fargo Securities, LLC, Research Division: I just wondered if you could comment a little bit on the persistence, and I apologize if you've covered that in your remarks. I didn't catch what you think might be behind what looks to be strengthening. And I'm wondering if you think that we could expect that to continue throughout the remainder of this year?
Eugene S. Putnam: Well, to the latter part of your question: hopefully. But it's not something that we have baked in. I think in terms of persistence, it did get weaker last year, and we put a significant effort on persistence. I think persistence works its way all the way back to the beginning of the funnel. And as we talk about better quality leads, that doesn't mean just to start. That means to actually work your way all the way and matriculate through and graduate, which is the ultimate goal of what we're trying to do. And so I think you're starting to see some of that, call it, the more -- I hate to say, more committed, but it is almost a more committed quality student that we think we're starting to see that is working its way into the population. We're spending a fair amount of time trying to intervene early where we see opportunities for a student that might be at risk; whether it be academically and provide them with tutoring or additional tutoring, or whether they're running into some personal hardship and just trying to be alert to that sooner rather than later. So that many times, what happens with a kid is if they stay quiet, by the time they're ready to leave school, they have already left school. And I think we're trying to intervene in that sooner and try to help them through solutions and make sure they're aware of all the alternatives that are available to them to continue to pursue their education. So a good effort. It's showing some results and hopefully, those results will continue and continue to improve.
Trace A. Urdan - Wells Fargo Securities, LLC, Research Division: Okay. The GM announcement was obviously a positive for you guys. I'm wondering if you can -- without naming names, are there other manufacturer conversations that are taking place? And would you anticipate that you're going to have additional announcements kind of over the course of the year?
Eugene S. Putnam: Well, there are certainly additional ones taking place. We're not close enough yet to give me confidence to say another one will -- another new one will be out there. I do think we've been expanding some of the existing relationships, either in terms of the curriculum that we're teaching, expanding into dealer training or additional locations. So I think that will continue. You may see us do something with a smaller partner, not necessarily a OEM manufacturer, but I certainly hope so. But at this point, I'm not counting on another -- something of the significance of a major manufacturer.
Trace A. Urdan - Wells Fargo Securities, LLC, Research Division: Okay. And then Eugene, you've been asked and commented in the past that as it's prudent, as leases come up, you would consider the possibility of downsizing or relocations. Is there anything in the course of this fiscal year like that that's coming up that would sort of force that kind of evaluation and decision process for you guys?
Eugene S. Putnam: Not that would impact this year on -- no. Short answer for once. Not anything this year. We do have things a couple of years out that we will consider, and some of those things, the thought process and the analysis is starting, but nothing that would impact this calendar year and/or be announced this calendar year.
Operator: [Operator Instructions] Our next question comes from Paul Condra with BMO.
Paul Condra: I just wanted to follow up on the inquiry rates, the 20% drop. Can you just give a little more detail around what you guys have to do differently to kind of comply with the new rules? And then, what gives you confidence going forward that that's not going to be an issue?
Kimberly J. McWaters: So that was the primary driver of the volume decrease in the quarter, as we discussed. We can track it basically back to the time the new language was posted until the new -- I guess, the second new language or version was posted. So -- and at that time, we saw an immediate change in the inquiry process. At this point, we feel like we've recovered a lot of that volume or the impact. With that said, I think it is -- it's something that we may not make back 100%, just given students' interest or lack of interest in that regard. The one thing I think that is important as we're focusing on improving quality inquiries, the thing that was positive is that despite that 20% decline in volume, applications grew 3% overall but even greater for the adult population that is dependent upon media-generated inquiries. And so that, to me, is positive. If we've addressed, and we believe we have addressed, the TCPA issue, and we can continue to grow not only the percentage of inquiries that are quality, but the volume overall, that will continue to support our adult channel growth over -- in future quarters. So because it's so specific and we can track it to what drove the decrease, that gives me confidence that we have addressed the issue.
Paul Condra: Okay, great. And then just last one. Did you provide a show rate for the quarter?
Eugene S. Putnam: We never give the absolute amount, but it was down about 5 percentage points on a year-over-year basis.
Operator: [Operator Instructions] There appears to be no further questions at this time, so I'd like to turn the conference back over to Kim McWaters for any closing remarks.
Kimberly J. McWaters: Thank you very much for your questions, everyone. We appreciate your time and interest in Universal Technical Institute, and we look forward to updating you on our next earnings call, which is scheduled for Tuesday, April 29. Have a great evening.
Operator: Thank you. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.